Operator: Good day, ladies and gentlemen, and welcome to the TripAdvisor First Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to Will Lyons, Vice President of Investor Relations. Please begin.
Will Lyons - TripAdvisor, Inc.: Thanks, LaToya. Good morning, everyone, and welcome to our first quarter earnings conference call. Joining me today are Steve Kaufer, our CEO; and Ernst Teunissen, our CFO. Last night after market closed we distributed and filed our Q1 earnings release as well as made available our prepared remarks on our Investor Relations website located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Also on our IR website you will find supplemental financial information, which includes certain non-GAAP financial measures discussed on this call as well as other performance metrics. Instead of reading our prepared remarks on this call, Steve and Ernst will provide a couple of thoughts about the quarter and our recent progress, and then we'll jump right into Q&A. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent the company's view as of today, May 5, 2016. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release and our filings with the SEC for more information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. And now, Steve, I'll turn the call over to you for opening remarks.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will, and good morning, everyone. Thank you for joining the call. The first quarter 2016 was pivotal for TripAdvisor as we continued to rapidly build the best end-to-end user experience in travel. First, some comments on our Hotel segment. We're excited to be mostly complete with our instant booking rollout. Phase 1 was getting hotelier and OTA partner adoption in 2015. Phase 2 was executing the global product launch, and we are now in Phase 3, which is perfecting the booking experience and educating users about their ability to book on TripAdvisor. And finally, Phase 4 is all about delighting more users, achieving higher conversion rates, driving direct business and repeat behavior and plugging the monetization leak. We're pleased with our continued progress, although we recognize there's still a lot of work ahead of us. In our Non-Hotel segment, these businesses are performing well. They're aimed at big market opportunities and are tailor-made for mobile devices. We're hard at work in improving our products, creating the best end-to-end user experience at all stages of travel planning and trip taking. We're focused on doing what's in the best interest of our business for the long term. Ernst?
Ernst J. Teunissen - TripAdvisor, Inc.: Thank you, Steve. Our first quarter results were in line with our internal forecasts, and I want to reiterate that our growth outlook and margin commentary for the full year remains intact. In our Hotel segment, we saw significant revenue growth deceleration due to our global instant booking launch, with a corresponding impact on EBITDA. Both were expected and communicated in February. In our Non-Hotel segment, revenue growth was masked this quarter as we shift towards a transactional model in vacation rentals, which results in a substantial portion of bookings made in Q1 being recognized as revenue when the stay happens later in the year. This increased seasonality of Non-Hotel is another driver we communicated in February. As we have discussed, 2016 is an important transition year. We're executing on our long-term strategy and in the near-term, we expect decelerating growth in the first half and improving growth rates in the back half. With that, we'll now open it up for questions.
Operator: Thank you. And the first question is from Lloyd Walmsley of Deutsche Bank. Your line is now open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks for taking the question, if I can ask two. In the prepared remarks, you seem to suggest the instant book monetization is continuing to improve in the U.S. and ahead of the rest of the world. Is there any color you can share, digging into the unit economics of what, say, a click on instant book monetizes that, relative to a click in metasearch in the U.S., and kind of what the growth – the slope of that curve looks like? Obviously, growth rates mathematically improve in the second half as you comp through that rollout, but can it be a growth driver beyond lapping instant – easy compares? And then, second question would just be on leakage. Obviously, it's a big objective here. And last quarter you talked about repeat rates rising, which would be natural with a new product, but when you look at kind of the aggregate percent of hotel shoppers that are clicking on a monetization unit broadly, be it meta or IB, is that percentage rising meaningfully, perhaps, in your more mature markets? That's it. Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Thank you, Lloyd. Indeed, in the U.S. we have seen, since the launch in the U.S., improvement that we've been able to make in the monetization of instant booking. And the most important lever for us has been to work on the supply, both in terms of the number of hotels available in instant booking, as well as on the content that we provide for those hotels. So, we've been working hard on that throughout the year and we saw – we've continued to see improvements in our ability to improve that monetization in the United States. In the rest of the world, where we have just rolled out in the first quarter; not surprisingly, we see that that monetization is less good than it is in the U.S. today, and like it was in the U.S. early days. So we're seeing that we have a larger gap outside of the U.S. between meta and IB than we have in the U.S., and that's to be expected. And when you just roll out, you have a few teething problems that we're working hard on to improve, and expect to improve over the year. In terms of some of the underlying repeat metrics, so we've seen in the U.S., because that's where the data is most relevant, because we have a longer series here, we see month-on-month and quarter-on-quarter, we see improvements in repeat rates. Not just what percentage of bookings is repeated, as you said in your opening, but also the percentage of first-time bookers that come back in any period of time, that percentage is improving quarter-on-quarter, month-on-month. What we also see is that bookers that do come back then tend to convert better. We also see that bookers that come back tend to convert better than meta-clickers that come back and click again. And so, we see a couple of very important trends here that we believe are indications that the thesis is at least starting to work in the U.S. Now, as I said before, outside of the U.S., it's very early days, and we have that path to climb in the rest of the year.
Operator: Thank you. And the next question is from Eric Sheridan of UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the question. I wanted to talk a little bit about the revenue per hotel shopper trends. You called out three drivers there, dilution from IB, mobile mix and the revenue recognition issue. Can we size what the impact of those three were on revenue per hotel shopper in the quarter, and how we should be thinking about those three inputs sort of trajecting (8:01) as we move through the year? Thanks so much.
Ernst J. Teunissen - TripAdvisor, Inc.: The largest driver of it is instant booking, that's the most significant driver here. And if you unpack instant booking, in fact, the largest driver there is just that monetization difference that I described just before. And then there's a secondary impact, which is the revenue recognition component of it as well. So, instant booking as a whole is the most important driver. Then, sort of the mix between desktop and phone and how we comped last year is a secondary, much smaller impact. And then lastly, there's also a bit of currency, 1% to 2% of currency as well, which negatively impacted, but instant booking is by far the largest driver.
Operator: Thank you. And the next question is for Mike Olson of Piper Jaffray. Your line is open.
Mike J. Olson - Piper Jaffray & Co.: Thanks. Good morning. In the prepared remarks, you described your four-phase rollout for instant book, and now you're on Phase 3, which is helping more users book on Trip and optimizing that experience. What does that entail? Is it making tweaks to the interface? Or is it marketing to essentially convince people that booking on Trip is what they can be doing now versus just window shopping?
Stephen Kaufer - TripAdvisor, Inc.: Hi. This is Steve. Thanks Mike for the question. So, there's actually quite a few components and it's great to finally have the product rolled out almost everywhere because that's a lot of heavy lifting that takes a bunch of resources. But it is now about making sure everyone in all of our markets understand that you can book on TripAdvisor, and we started this approach over a year ago on desktop U.S. and we found it's taken a while to get that repeat rate up. But we've seen that kind of steadily climb. And that's the signs that we're looking for, and we're now on day one or day 30 for a bunch of our other international markets. So, as that grows and now we can kind of count on it growing globally, it's fundamentally taking the audience that's on TripAdvisor, helping them, guiding them, where appropriate, down the instant book path. We see that when they do go down the instant book path they tend to come back more frequently than if they went down a meta-path, but we're very cognizant that pricing is a critical factor, and where the instant book price isn't the best, we have meta-available everywhere. And as I've said before, and for the avoidance of doubt, we expect our meta-business to continue to be strong in that kind of forever timeframe. We want folks to, travelers to be able to come to TripAdvisor, find the best price. If instant booking has that great price and the great experience, that's going to be were that initial booker is going to book. And as we have the credit card stored, it's going to be where the repeat booker might well prefer to transact out of ease-of-use, out of the simplicity, out of offering a great price and a past great experience. That takes a while. In terms of the actual interface of instant booking and what we can do on the site, and how we can do more promotions to help drive awareness of the fact that you can book on TripAdvisor, I think you see a lot of change on the site on a frequent basis and you see a number of different marketing programs that we've launched on the site in many countries. We have a sweepstakes running, we have a Viator attraction coupon running right now, just lots of different ways to subtly, and frankly not so subtly, remind people/let people know that Trip is a great place to complete your booking.
Mike J. Olson - Piper Jaffray & Co.: Thank you.
Operator: Thank you. Next question is from Ken Sena of Evercore ISI. Your line is open.
Ken Sena - Evercore Group LLC: Hi. Just on the comments about the U.S. rollout and the fact that you have a smaller than average dilution you're seeing from IB. You also make the comment though that on mobile you're seeing the improvement there, and it does seem that it's actually accretive on a revenue per hotel shopper basis. Anything else you could say maybe that might help us think through the trade-off there, or any points of inflection maybe as far as the time spent or anything else that might help us model this phasing over the course of this year? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Well actually, I'm glad you brought up the mobile because that happens to be a piece we're particularly proud of this year. There's no question that as our traffic shifts from the traditional desktop platform to the phone, we've been facing a monetization headwind, because the phone had just monetized. I remind folks that was one of the reasons we launched instant book a while ago, because we saw this coming, we want to make sure we're the best platform to be able to plan and book your trip. And so, as you look at the phone, we're in the U.S. certainly fully rolled out with instant booking, we're building that repeat usage, we're vaulting the cards, we're getting more and more repeat booking. So our revenue per hotel shopper, not only is our hotel shopper growing nicely on the phone, but the revenue per hotel shopper had that very nice lift in Q1. What really changed? Well, it wasn't IB rollout per se because we were already rolled out on the phone. It was some combination of the better experience, better pricing, better content, all the things that we work on from a supply perspective, better optimization of the user experience, so all the good work that the UI team has been doing, and the fact that folks are comfortable booking on the phone on TripAdvisor because they've experienced it in the past. So, that was a nice 20% plus lift. And as we look forward, and as we start to see that in some other markets, we're excited about closing the gap on phone to desktop, as we know phone is a huge percentage of where our business will be.
Operator: Thank you. And the next question is from Perry Gold of MoffettNathanson. Your line is open.
Perry Gold - MoffettNathanson LLC: Thanks for taking the question. Two please if I may. Can you provide an update on how conversion rates at instant book now compare with meta-search in the U.S.? And also I was wondering if you could help us to better understand on the tenor of conversations with mid-size chain and independent hotel partners has changed with the launch of instant book? Do they now feel greater comfort with this model versus meta-search, where they may have felt a little intimidated bidding against the major OTAs and where they likely perceive the higher risk profile? Thanks so much.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, thanks, Perry. The conversion rates, meta versus IB in the U.S., a quarter ago we said they were comparable. There are many puts and takes throughout the quarter, also dependent on what happens to meta itself, but I think as a broad statement that is true. IB conversion rates are, in the U.S., also still lower, but as we say, comparable, it means that they're at least closer and approaching compared to outside of the U.S. And I'll give it to, you, Steve, for the hotel partners.
Stephen Kaufer - TripAdvisor, Inc.: And we're really quite pleased with our hotel partnership. I don't detect much concern left, frankly, in most parts of the world regarding mid-size folks or even large folks coming on to instant book. That logjam, if you will, was broken last year and we have, frankly, more hotels interested in popping on IB now than we can kind of get through our system, if you will. So, from a supply perspective, that's the plan. We want to connect with every hotel that's on our site so that it can be instantly bookable. We'll get there. We have more and more chains coming online. We have more and more independents coming online, but with our OTA partners, that's not a gate to teaching people that they can book on TripAdvisor. It's an optimization of giving our travelers the choice of where they want to book and to leverage the better pricing through the different channels.
Operator: Thank you. The next question is from Nat Schindler of Bank of America. Your line is open.
Nat H. Schindler - Bank of America Merrill Lynch: Yeah. Hi, guys. Of the 143 million hotel shoppers you had on average each month this quarter, what percentage of those are logged in with a credit card? And how is that trending? Sorry.
Stephen Kaufer - TripAdvisor, Inc.: We don't share that number, but the trend is obviously positive as we continue to vault a good portion of the credit cards as we move forward. I back it up a level and remind folks, one of the awesome things about the TripAdvisor business is that we had such reach, such scale, that 130 million shoppers a month, oh my goodness, it's just, it's phenomenal. But a lot of those shoppers were folks that had come in, taken a look and leave, and all we would know about them is their IP address, and we built a wonderful business over a decade-and-a-half doing that. But with IB, with instant booking, because we're now taking the transaction, all of those folks if they weren't already members are now becoming members as part of that process and we get to remarket to them, remind them that we exist, build more of the transaction loyalty. So again, that pays dividends for quite some time and obviously is a significant benefit of shifting or augmenting our meta model to be transactional.
Nat H. Schindler - Bank of America Merrill Lynch: Great. Thanks. And a quick follow-up that's totally unrelated. But as you go to Europe and you now have Priceline on instant book, obviously, they're a big bidder with Booking.com in European hotels on meta. Has it affected their – has them being in instant book affected their meta auction pricing or behaviors?
Stephen Kaufer - TripAdvisor, Inc.: I couldn't possibly answer from the perspective of what goes on inside of their companies and how they're choosing to bid on TripAdvisor, sorry. We point to a meta auction in the first quarter and say it was a very healthy auction. We have nice competition across our partner set. We in turn launched some additional capabilities to our partners in terms of enabling them to re-target using our platform, so it's a great opportunity. A number of partners have started to take advantage of it. It's, again, just another piece, another sign of commitment that we have that we're showing our partners to the meta auction building in this type of technology that allows them to bid more effectively and get the type of traffic that they want from our platform. So again, I couldn't comment on our partner specifically, but I can tell you that the meta auction is quite healthy right now.
Operator: Thank you. The next question is from Chris Merwin of Barclays. Your line is open.
Christopher David Merwin - Barclays Capital, Inc.: Great. Thank you. I just had a couple questions. I guess the first is on the vacation rental space, I think you did another acquisition there and have I guess some 800,000 listings now and we've seen a few acquisitions in this space lately. I think, as it's become more attractive to some of the larger players in the space. I guess the question is, to the extent you do see more competition, can you talk about what that might mean for the cost of customer acquisition, particularly with SEM, and perhaps the long term margin for the business? And then, just another question on macro, and apologies if this has been asked, but Priceline had mentioned they had some macro concerns. So just curious what impact, if any, you've seen from that, apart from the headwinds you had from instant book? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Well, there's been some movement on VR side with some of the other companies. I don't see the competitive landscape as having meaningfully changed. No particular reason to think being part of Expedia, the HomeAway companies will be behaving meaningfully differently. They are changing their business model, but it's a little hard for me to see meaningful change in our cost of traffic acquisition, or our margins there.
Ernst J. Teunissen - TripAdvisor, Inc.: What I would add is, what you see is that some of the smaller players are subscale at the moment, and the reason why we're making some of these acquisitions is because we see great scale benefits in adding some of these smaller players onto our platform.
Stephen Kaufer - TripAdvisor, Inc.: We are one of the sort of big players in the vacation rental space. We view it as a great alternative lodging type. As you know, as you well know, it's perfect for a certain type of traveler looking in a certain type of location, and we aim to, and we have been, quite successful at fulfilling that need. So, the question on macro conditions, there was, what we believe to be, a small, limited impact from Brussels, and overall macro issues aren't something that is keeping us up at night.
Operator: Thank you. The next question is from Robert Peck of SunTrust. Your line is open. Hi, Robert. Please check to see if your line is on mute? Okay. We will go to our next question from Douglas Anmuth of JPMorgan. Your line is open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thank you for taking the question. Steve, you've talked about attractions as being potentially your next $1 billion business. I was hoping we could get an early read on how you are thinking about instant book so far in attractions? I know the launch is pretty recent. And also, if you can talk about that space in instant book, in particular just from a structural kind of dynamics, and the degree to which that's much less competitive perhaps than what you are doing in terms of straight hotels? And then also, on the mix between meta and instant book over time, any thoughts long-term on how you think the mix of those two could shake out? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Thanks, Doug, for those two excellent questions. I absolutely think attractions is a phenomenal business for us going forward. We're so well positioned because of the number of folks currently using the TripAdvisor app in market, and then you combine that with the supply that Viator already had before we made the acquisition. And then the tremendous efforts that that team, super kudos to that team, for picking up that much more supply on a regular repeatable basis. And we're by no means done. But we've now aggregated, we think, the best supply footprint around the globe. Match that with the best demand footprint around the globe, and we think this is an awesome, awesome business to be in. It's a pain in the neck to aggregate all of the individual suppliers, many of whom aren't using a lot of technology, with a lot of individual pieces along the way. Again, one of the reasons why we entered the space via – the supply piece via an acquisition, but now that we have it, now that a lot is bookable online instantly, now that we've learned how to match it with the TripAdvisor demand, not only on the phone for instant booking for attractions, but now on the desktop for instant booking on attractions, and you look at a business with a margin profile that's quite similar to hotels, and like wow, all the ingredients are there. And that's not to say that we're the leader in every single market, it's not to say that it's straight sailing from here to there, we certainly have competition, but it's a natural fit for what travelers currently turn to TripAdvisor for. We have global reach, and we have global supply, in a nice margin business with some competitors, but it's not like we're coming from behind in any shape, or in any sense. So that's my short thesis to the $1 billion business because it's a market that, as you know, is phenomenally sized by itself. To the second question on instant book versus meta in the longer-term mix, obviously, we expect instant book share to grow as we continue to roll it out, as we drive more repeat usage, but I really don't foresee the time when meta is an afterthought and it's just instant booking. I think there will be a large segment of the consumer base that has loyalty to a brand direct or an OTA or another OTA, one of our other clients. And they're very comfortable keeping that booking path, if you will, and TripAdvisor hopefully will facilitate that preference, be it directly with the brand, in instant book for the brand online, or any of the OTA partners. And we would hope that a number of OTA partners around the globe would wish to participate in our instant book marketplace as Priceline and getaroom and others have. So I don't model out a specific, but I do expect IB to grow, and I would never expect meta to disappear.
Operator: Thank you. The next question is from Stephen Ju of Credit Suisse. Your line is open.
Steve D. Ju - Credit Suisse Securities (USA) LLC (Broker): Steve, I think about most of the questions have been addressed. I want to get your perspective on your restaurants business, and the long-term potential there? And how you may be looking to differentiate it versus OpenTable? Or how you might look to grow it globally? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Thanks, Steve, for the question. Large component of our traffic is currently on restaurants. We've been investing over the past year in building up the usefulness of the product, both expanding the number of restaurants that we have all around the globe. We have a lot of restaurant reviews and info and engagement with restaurant owners around the globe. And we really haven't paid all that much attention to it product wise, prior to – from a monetization wise, prior to LaFourchette, to us purchasing LaFourchette. So, we feel on the restaurant reservation basis, the model that OpenTable has, we have the model enhanced with discounts in other parts of the world. And geographically it tends to be shaping up as OpenTable is super strong in their set of markets, and TheFork or LaFourchette is super strong in our set of markets. And it's hard for one to make an in-road into the other in any direction. But that's not the only thing that we, or I presume OpenTable, can do in the restaurant space. So, we have a lot of traffic, we have a lot of eyeballs, we have a lot of app downloads, we have a lot of users engaging in learning about restaurants. We look at it as not only how can we help users find the best restaurant, how can we help users come back to TripAdvisor more and more often, leveraging the fact that they may only – or noting the fact that they may only travel a few times a year, but they're actually eating out several times a month. And how can we leverage that restaurant use case to drive overall adoption and engagement of our app. And those plans have been in place, and that's in part why we continue to invest in that category, not just the reservations piece, but the whole restaurants as part of the TripAdvisor solution.
Operator: Thank you. The next question is from Tom White of Macquarie. Your line is open.
Tom White - Macquarie Capital (USA), Inc.: Great. Thank you for taking the question. Just a question on marketing or driving awareness of instant booking. Steve, you mentioned the sweepstakes and the coupon, but I guess maybe those seem to me like relatively low-profile marketing maybe, or maybe lower impact (29:28) there. But I was wondering if maybe you could talk about the potential for more significant investment to promote instant booking, or maybe is that part of the Phase 4 strategy, once optimization of the path is exactly where you guys want it? And then just secondarily, Steve, you talked about price as a critical factor in terms of whether people choose IB or meta. Do you guys have flexibility or ability to improve the way prices look? Or is that not really something you can influence? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure, two good questions. Thanks. So on the marketing side, we do believe that we can make significant inroads in any particular market by focusing on the audience that is already in travel research and purchase mode. And we have 100-plus million of those already on our site in any given month. So that's a lot of traffic and we really want to hone that message. So I wouldn't put or at least we don't think of our on-site promotions as kind of small or kind of not being able to move the needle for us in terms of awareness. U.S. is where we're choosing to focus now because the product is the most mature, the pricing is the best, and we've had longer to tune the user experience. So, I'd say, steady-as-she-goes from a marketing perspective on teaching folks to trial instant book as we improve their ability to come back and use instant book again. In terms of price, as you know, we don't take the booking ourselves from charging the credit card perspective. We're taking all this information and we're sending it along to our instant book partner, be it the independent hotel, the brand, or the OTA. So, we don't have the ability, or we choose not to create the ability, to offer a price discount ourselves. We have no interest in having our OTA. We're looking to offer the best price that is out there on the web via the TripAdvisor instant book strategy. So, no matter who the OTA is, no matter who the individual hotelier is, come put your pricing in our instant book environment and therefore, we'll be able to offer it as the best. And if we don't have the best, well our meta-offering, if you're a meta-partner, can also show an even better price than IB and you do see that on the site sometimes. Pricing, as any OTA will tell you, is a longtail game. There's no one magic bullet, no one site out there has the absolute best pricing anywhere, but that is the Holy Grail that everyone looks for, and we're no exception to that. We think our model is extremely well suited to being able to offer consumers the best pricing via meta, and great pricing in almost all cases using our instant book initiative, where we've stored the credit card. So we're building you the convenience to come back because you'll always find the best price. But that takes a while, and we wouldn't be trying to do that by offering price discounts on our end because we're not the merchant of record.
Operator: Thank you. The next question is from Robert Peck of SunTrust. Your line is now open.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Yes. Hi. Can you hear me?
Stephen Kaufer - TripAdvisor, Inc.: Yes, we can.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Okay. Great. Thank you. Sorry about the issues there. I am not sure what that was. Couple of quick questions if you don't mind, one is, Google has rolled out a product on mobile and we're just curious, if you're seeing any impact from that? And then number two, following up on Chris's macro question, particularly, we are curious on the RevPAR side of things. If you're seeing RevPAR pressures impact the business at all? Thanks so much.
Stephen Kaufer - TripAdvisor, Inc.: Sure, Robert. So, Google has been doing a lot over the years, quite a few years now in the travel space. What can I say? They continue to try to get into the travel space. They have a phenomenal ability with their search engine to direct traffic to their own products, even when the consumers demonstrably do not like that. To this particular product, the new mobile offering, I'd say way too early for anyone to have a meaningful opinion on it. It's not really likely, in my opinion, to have a big impact on the transaction components of a site. Its way up in the discovery set, but time will tell whether they'll continue to invest in that. On the RevPAR, we tend as a business not to track our financials on RevPAR. We look at our top of funnel metrics, how many people can we get in the store, and how quickly can we convert them, as fundamentally RevPAR isn't something that we have any control over.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Thank you so much.
Operator: Thank you. And the next question is from Kevin Kopelman of Cowen & Co. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks a lot. First, could you just give us a better sense, if you haven't already, on the Q2 revenue growth projection versus the Q1 in the Hotel segment? Should we expect bigger declines there compared to Q1 just given the rollout? And then just to follow-up on HouseTrip, can you give us any more metrics, what the acquisition price was and contribution expected this year? Thanks a lot.
Ernst J. Teunissen - TripAdvisor, Inc.: Hey, Kevin. This is Ernst. As you know, we are not giving explicit guidance for the full year, nor for the second quarter. However, we did few months ago and we're reiterating that, described the pattern of the year, and what we described is, in the first half of the year, we expect revenue deceleration, and you've seen that in Q1. And in the back half of the year, we see revenue growth rates expand again. And that is as much as we want to comment on the profile for the year. In terms of HouseTrip, we have not disclosed a purchase price for HouseTrip, which in itself indicates that it wasn't very material, and the impact it will make will be helpful for our vacation rental business, but not significantly material for their overall financial results for the year.
Ernst J. Teunissen - TripAdvisor, Inc.: Okay. Thanks, Ernst.
Operator: Thank you. The next question is from Peter Stabler of Wells Fargo securities. Your line is open.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks for taking the questions. I wanted to go back to IB/meta. If we think about the desktop experience in the U.S. versus the mobile experience, consumers coming into the funnel, can you give us a sense of the preference for IB versus meta, how it might differ on the desktop versus the mobile? And then secondly, on a separate topic, wondering if you could comment on loyalty programs. Is there an expansion of loyalty program activity by various partners a threat to Trip? There's obviously different opinions among your partners on how valuable they are. I wonder if you could offer your thoughts on that topic? Thanks so much.
Stephen Kaufer - TripAdvisor, Inc.: Certainly. Yes, we do see a meaningful difference in IB adoption on desktop versus phone. Not surprisingly, instant book is used a lot more, and represents a higher percentage of our phone revenue. Our credit card vault rate, as we call it, how many people store their credit card after a transaction, is much higher on the phone. Credit card usage, vaulted credit card usage rate, is higher on the phone. Again, all kind of after-the-fact evidence that having instant book on the phone, as people move more and more their transactions to the phone, is a good thing to have, we believe a requirement to have, to be a credible offering in the future. So, yes, we see a difference and yes, it's kind of as expected. The second question is, loyalty programs a threat? Yes. Every program that tries to drive a consumer to go straight to a booking site that's not TripAdvisor is taking a customer that we would like to service and making them loyal somewhere else. We know they've been around for a long time, some of the biggest players don't have them, and seem to be doing great. So, obviously, I have no inside knowledge, but I would assume those programs would continue to grow in terms of visibility. And everyone has some set of reasons why a secret deal here or there, as to why one might want to go back to the site. TripAdvisor has our set of reasons why you want to come to TripAdvisor, namely the incredible content, the candid photos, the room tips, to being able to compare all the prices, because nobody wants a secret deal on a particular site, if in fact that's not better than what you can find elsewhere. And of course, through Instant Book, or through Meta, we can allow our clients to offer their special deals, or their special offers, to our audience as well, should they choose. We don't think the dynamics around consumer loyalty have changed all that much over the past set of years, so, while it's on the horizon, it's not something that I think will materially change behavior over the next several years.
Operator: Thank you. The next question is from Jed Kelly of Oppenheimer. Your line is open.
Jed Kelly - Oppenheimer & Co., Inc. (Broker): Great. Thanks for taking my question. Where are you in terms of launching your own retargeting product? And besides generating additional revenue for your metasearch partners from this product, can developing an internal retargeting product potentially ease some of the recent deleverage in online advertising?
Stephen Kaufer - TripAdvisor, Inc.: So I'm not entirely sure the question. I can tell you what you do – and then I'll tell you what we do, and then I'll ask you for a follow-up, if it's not clear. So we currently, for our online marketing campaigns, leverage retargeting as we buy TripAdvisor traffic that left TripAdvisor and is on other third-party sites, and we buy them back with banner ads and search retargeting. From a – what we offer our clients, if a visitor is on a site, for instance Expedia, and then are visiting TripAdvisor, we allow the client to bid differently in the meta-auction, in order to determine – in order to reflect the fact that that visitor may be worth more or less than the average visitor they get from TripAdvisor, and that's rolled out. And more and more partners are adopting that, just as a way to optimize their bidding strategy, exactly in the same way that TripAdvisor looks to optimize our bidding strategy when we acquire traffic to our site. So, much the same, sort of on a conceptual basis, for how that's done. If that – go ahead.
Jed Kelly - Oppenheimer & Co., Inc. (Broker): I'm sorry, I guess my question was more around, as you develop more of an internal retargeting product, can that potentially ease some of the reliance on some of the third-party ad tech platforms you use?
Stephen Kaufer - TripAdvisor, Inc.: The third-party ad tech platforms that we use to acquire traffic to TripAdvisor?
Jed Kelly - Oppenheimer & Co., Inc. (Broker): Yes, such as Criteo?
Stephen Kaufer - TripAdvisor, Inc.: No. I mean, I don't – the platform that we have developed is for our clients to use rebuying, or remarketing, to the traffic that was on their site and is now on TripAdvisor. Criteo or anyone else, they can't do that. They can't offer that, that's something that we had to offer ourselves. And then, since we buy traffic elsewhere on the web, we're not trying to get into the business that Criteo is in by way of a broad ad tech platform. We have a huge audience, we will offer, to our CPM clients, the ability to buy – to spend on TripAdvisor and buy a banner ad for Hilton, for instance, that is placed on TripAdvisor, and is also placed on a third-party site to a visitor that was on TripAdvisor. So we do offer that, it's a growing part of our business, it's a nice part of our business. It doesn't really affect our reliance on other ad tech platforms one way or the other.
Operator: Thank you. The next question is from Brian Fitzgerald of Jefferies. Your line is open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. Maybe a couple quick ones. In terms of building out the content with respect to IB attractions or vacation rentals, or any one of your channels. To what extent is that both a joint exercise on your part, but also in conjunction with your partners? And then two quick ones. Can you remind us what the exclusivity concerns are around booking.com and their IB relationship, when do those expire? And then as you embark on phase three of your IB roadmap, how long do you envision that phase kind of playing out? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure, I'm not sure I quite followed on the partnership piece. When we kind of add content, the room descriptions, room tips, we're doing that ourselves. If the content you're referring to is more pricing and more availability of rooms. Well, that's our supply footprint for hotels or attractions or restaurants, and we have our teams going out and getting more and more supply. With that supply comes just more choice in rooms and tours and attractions. So with our partners – well, you can ask a follow-up if I'm missing the point on that one. We don't really comment on partner contracts with respect to things like the Booking.com contract. You've seen more and more suppliers be added to our Instant Book offering over time, and we continue to add partners every single quarter. So we have a lot of flexibility to deliver the product that we want to our customers. Was there something in the partner contracts I missed?
Brian P. Fitzgerald - Jefferies LLC: No. Then the last one, Steve, was just as you embark on phase three, have you talked about how long you envision phase three playing out?
Stephen Kaufer - TripAdvisor, Inc.: The phases are meant kind of as guideposts. We're certainly already doing a little bit of phase four right now, because we're trying to get people to do more and more repeat bookings. That's great, we've been improving the experience, educating folks which is phase three. We were starting that in phase two. So they are fuzzy, but we've articulated them, because hey, everyone had seen IB in the U.S., but we wanted to remind everyone the clock is just now starting to run on the rest of the major countries throughout the world. That's great. And this phase coming forward is less about intro, less about rollout, and now about honing that user experience and driving the behavior that we want. Certainly, if you want to combine three and four, the phase lasts forever. If you want to split them out, phase three will be a while.
Operator: Thank you. The next question is from Dan Wasiolek of Morningstar. Your line is open.
Dan Wasiolek - Morningstar, Inc. (Research): Hi, guys. Thanks for taking the question. So in the Non-Hotel segment considering the shift to transaction and vacation rental. When we think about the progression of revenue growth for the rest of 2016 into 2017, should it be something similar to the commentary that you've given on the Hotel side? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, Dan. Thanks for asking that question. We made a comment in the prepared remarks about our vacation rental business. What we outlined is, and this is happening both in Instant Booking and in vacation rental, is as we move our business models, and we've talked about Instant Booking, but if you look at vacation rentals, we're moving our business model in vacation rental, we have progressively over the last year. So if you look at Q1, 2015, we had a small portion of the revenues recognized on stay and other elements of revenue recognized on book or on subscription. And as we migrated over the year, now we're in Q1 2016, we see that a substantial portion of our revenues is recognized on stay. So that has a significant impact, particularly on the seasonality of our business. Q1 is a quarter in vacation rentals in which there are a lot of bookings for later in the year for Q2, but specifically for the summer in Q3. And so what you see if you compare the year-on-year growth rates is what you see is that the total of 14% year-on-year growth for Non-Hotel, which is not just vacation rentals obviously is suppressed by that impact. And as we look out for the full year, we believe the growth rate for Non-Hotel will be significantly north of that 14% for the whole year because of that seasonal – additional seasonality that has been built-in, with this change of business model.
Operator: Thank you. The next question is from Heath Terry of Goldman Sachs. Your line is open.
Heath Terry - Goldman Sachs & Co.: Great. Thanks. I just wanted to get for the model, if you can give us a sense of what percent deferred revenue relates to IB versus other? And then on your comments around the launch of preferred pricing for loyalty programs at some of the larger chain hotels. Is there either through Meta or through Instant Book a model where you could see yourself participating in those priority pricing programs?
Ernst J. Teunissen - TripAdvisor, Inc.: I'll take the first question there. We have not broken out the relative impact of IB and other. It – however, if you look at businesses where we have been booking at stay, right, consumption for a longer time, like attractions, for instance, attraction doesn't have a big impact on that growth rate impact, but it's really localized to Instant Booking and vacation rentals. But we don't want to give any further breakdown beyond that.
Stephen Kaufer - TripAdvisor, Inc.: And this is Steve. With respect to why the pricing initiatives that some of the big hotel chains have put on with kind of special rates, we can absolutely see a case in point or an example set where those brands choose to push their special pricing onto the TripAdvisor meta and/or IB platforms such that they want the exposure of some great rates. And our perspective is if it's a rate that's available to travelers, then we're happy to show it. So our model sort of encourages travelers to find the absolute – I mean, if you wind it all the way back, folks are coming to TripAdvisor because they love the site, it offers that great user experience, the full trip. They have more content, more choice, pricing is a key component of that. They find the things, the place they want to stay and the things that they want to do. They make the bookings on TripAdvisor if the price is great, and brands play into that, if they are giving us their best pricing. They find what they want to do, they book those pieces on TripAdvisor to have the great trip, to share the experience back on TripAdvisor, to therefore, become more engaged with our site, and again more likely to share their experience with their friends about how TripAdvisor helped them and start their very next bit of travel planning with us. Having the price from the brands is the – the best price from all components is one of the many things that we need to do right in order to earn that virtuous cycle.
Heath Terry - Goldman Sachs & Co.: Great. Thank you.
Operator: Thank you. And at this time, I'll turn the call back over to Steve Kaufer for closing remarks.
Stephen Kaufer - TripAdvisor, Inc.: Great. Well, thanks, everyone for joining the call. The first quarter 2016 was pivotal for TripAdvisor. We still have a lot of work ahead of us but we're making great strides towards our goal of building that best user experience in travel. I want to thank our employees around the globe for their continued hard work, and we look forward to updating you on our progress next quarter. Thanks again.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.